Operator: Welcome to IDACORP’s Fourth Quarter 2014 Conference Call. Today’s call is being recorded and webcast live. A complete replay will be available from the end of the day for a period of 12 months on the Company’s Web site at www.idacorpinc.com. [Operator Instructions] At this time, I would like to turn the call over to IDACORP’s Director of Investor Relations, Mr. Lawrence Spencer. Please go ahead.
Lawrence Spencer: Thank you and good afternoon. As you have probably seen we issued our earnings release and Form 10-K before the markets opened today and they are both posted to the IDACORP Web site. We will be using a few slides to supplement today’s call, and you can also find those on our Web site. We will refer those slides as we work our way through today’s presentation. On today’s call we have Darrel Anderson, IDACORP’s President and Chief Executive Officer; and Steve Keen, IDACORP’s Senior Vice President, Chief Financial Officer and Treasurer. We also have other individuals to help answer your questions during the Q&A period. Before turning the presentation over to Steve, I’ll cover our Safe Harbor statement on Slide 3. Our presentation today will include forward-looking statements. While these forward-looking statements represent our current judgment or opinion of what the future holds, these statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today. So we caution you against placing undue reliance on these forward-looking statements. Some of the factors and events that could cause future results to differ materially from those included in forward-looking statements are listed on Slide 3 and included in our filings with the Securities and Exchange Commission, which we encourage you to review. On Slide 4, we present our quarterly and year-to-date financial results. IDACORP’s fourth quarter 2014 earnings per diluted share were $0.69, an increase of $0.14 per share from last year’s fourth quarter. For the 2014 earnings per diluted share were $3.85, $0.21 more than last year’s comparable period. I'll now turn it over to Steve to discuss the end results in greater detail and review our estimated 2015 key operating metrics.
Steve Keen: Thanks, Larry and good afternoon, everyone. I’ll cover the reconciliation of earnings from 2013 to 2014, our cash flow and liquidity positions and as Larry mentioned some estimated 2015 key operating and financial metrics. To help understand our 2014 results on Slide 5 we present a reconciliation of earnings from 2013 to 2014. Overall net income increased by $11.1 million largely due to lower income tax expense resulting from a tax method change that I will discuss in a moment. Idaho Power’s operating income declined by $38 million from 2013 to 2014. Lower overall usage in the residential and irrigation customer classes due to more moderate temperatures and greater precipitation reduced operating income $38.1 million year-over-year. Those impacts were partially offset by increased sales from customer growth which benefited operating income by $9.1 million compared to 2013 the weather in 2014 was much more moderate. In 2013 we experienced increase heating and cooling degree days throughout the year at records level compared with the previous 10 years. Operating expenses in 2014 were also higher by $8.4 million due to greater labor related expenses along with increased depreciation and property taxes. Increased revenue sharing also reduced our operating income slightly as we will again share benefits with our Idaho customers under our Idaho regulatory settlement. Greater average construction work in progress representative of our ongoing construction activity resulted in a $3.9 million increase in the allowance for funds used during construction also an $11.6 million gain on sale of investments in 2013 did not repeat in 2014. The $29.1 million decrease in income tax as shown in the table represents the impact of a tax method change related to Idaho Power’s capitalized repairs deduction. This amount reflects the combined impact of $4.6 million of tax expense recorded in 2013 and $24.5 million of tax benefit recorded in 2014. We and others in the utility industry originally expected the new regulations to have a negative impact on capitalized repairs deduction. This expectation let us to accrue the $4.6 million of tax expense in 2013. New guidance from treasury in mid-2014 modified our interpretation and increased our expected benefits. This updated guidance was reflected in our 2013 tax return which we filed in September of 2014. A resulting additional tax benefit for the 2013 tax year was included in our third quarter 2014 financial results. In the fourth quarter of 2014, we completed our adoption of the new method for all years prior to 2013. The $29.1 million decrease in income tax is on the table reflects the impacts of the method change on all tax years through 2013 as well as the reversal of $4.6 million tax accrual recorded in calendar year 2013. The methodology underlying this change is expected to deliver a level of increased benefit annually based on the nature and amount of capital work performed each year. The table reflects that we recorded $7.8 million of additional tax benefit related to capitalized repairs in 2014, compared to the original tax accrual for 2013 which was based on the prior capitalized repairs methodology. And note 2 of the financial statements in the 10-K we filed today, the federal tax portion of this deduction is included in the line titled Capitalized Repairs Cost and the change from 2013 to 2014 is reflective of the single year federal income tax benefit from the new repairs methodology. The previously discussed $29.1 million of tax method change is reflected on the following line titled tax method change, capitalized repairs where the comparison of 2013 to 2014 reveal the impacts related to prior years. As we look at our potential future results we generally excluded the tax method change impacts from our earnings estimates. We are not currently aware of any additional forthcoming changes in tax policy that might cause adjustments to prior years. Please note that the capitalized repairs deduction originates in Idaho Power. An effective tax rate in the low 20s is what we currently estimate for Idaho Power next year. The remaining $19.8 million reduction in income taxes for 2014 primarily resulted from lower pre-tax income in 2014 compared with 2013. Moving now to Slide 6, we show IDACORP’s operating cash flows for 2014 and the liquidity position at December 31. Cash flows from operations for 2014 were $364 million, an increase of approximately $59 million over 2013. Changes in power supply cost collected under the Idaho Power cost adjustment mechanism drove most of the increase in operating cash flows. IDACORP and Idaho Power currently has in place the credit facilities of $125 million and $300 million respectively to meet short-term liquidity and operating requirements. The liquidity available under the credit facilities is shown on the bottom of Slide 6. Also there are 3 million IDACORP common shares available for issuance under IDACORP’s continuous equity program, no shares were issued during 2014 and we did not expect to issue new equity during 2015, except for modest amounts relating to employee compensation plans. Turning now to Slide 7, we are estimating 2015 O&M at between $340 million and $350 million. As you can tell from Slide 7 this is less than the actual 2014 expense of $355 million which I will speak to in a moment. Also we did not amortize any additional accumulated deferred investment tax credits in 2014, instead under our Idaho regulatory settlement in 2014 we recorded $8 million of current revenues to be refunded to Idaho customers and $16.7 million of additional pension expense further reducing the amount of pension benefits needed to be collected from customers in the future. Our 2014 O&M expense included the $16.7 million, removing this impact we anticipate only a modest increase in O&M for 2015 reflecting our ongoing diligence around actively managing cost. Our estimated capital expenditure range for 2015 is between $300 million and $310 million which includes between $45 million and $50 million for emission control equipment at the Jim Bridger plant. Page 54 in the Form 10-K filed today details some examples of anticipated ongoing infrastructure projects. For 2016, the estimated capital expenditure range is also from $300 million to $310 million. In total over the next five years we expect capital expenditures to approximate $1.5 billion. On the next role of Slide 7 we show that our expected 2015 hydroelectric generation ranges from 7.0 million to 9.0 million megawatt hours. As a reminder the median annual hydroelectric generation is 8.5 million megawatt hours. Finally we are initiating our 2015 earnings per share guidance in the range of $3.65 to $3.80 per diluted share which reflects normal weather conditions in our expectations of continuing effective cost management. As of today we do not expect to amortize additional accumulated deferred investment tax credits in 2015 under our new Idaho regulatory settlement. I'll now turn the presentation over to Darrel.
Darrel Anderson: Thanks, Steve and good afternoon everyone. For 2014 we saw our seventh consecutive year of net income growth. In addition to that achievement I want to highlight a few of these 2014 items before looking forward. First Idaho Power’s 2014 return on year-end equity in the Idaho jurisdiction exceeded 10.5% which resulted in the company using no additional amortization of accumulated deferred investment tax credits under the 2011 Idaho regulatory settlements. In fact we got another year Idaho Power will share earnings with Idaho customers of almost $25 million. Over the last six years the company has returned over $118 million to customer reflecting a fact that the mechanism has been a win for customers as well as for shareholders. Additionally as illustrated on Slide 8 and as we have previously discussed we executed a new settlement during 2014 that extends many of the benefits of the 2011 settlement potentially through 2019. Which we again believe is a benefit to both shareholders and customers. As a final note on regulatory matters we have no intention to file a general rate case in 2015. Second as to our large infrastructure projects at the end of 2014 we achieved a notable milestone in one of Idaho Power’s two 500 kilovolt transmission projects the 300 mile Boardman to Hemingway line. On December 19th the Bureau of Land Management released the draft environmental impact patch statement for the project. Comments are due in March of this year with the expectation that a final environmental impact statement will be issued by the BLM during 2016. Third in 2014 we implemented safety for life an initiative to increase employees’ safety awareness and improve employees’ safety behaviors and practices while maintaining OSHA recordable injury rates well below utility industry national averages. For 2014 we saw a 40% reduction in the company's OSHA recordable rate compared to 2013. Safety is one of Idaho Power’s core values and our employees have worked hard to focus on safety asses the hazards of our work make safe choices on how we work and speak up when see hazardous situations. We have made good progress and we will work to continue that positive safety momentum in 2015 and beyond. Finally in 2014 Public Utilities Fortnightly named Idaho Power to its prestigious list of 40 best energy companies. Our company made a substantial jump in the rankings from 29 to 17 with our fully integrated business model cited as a key to the company's continued success. Looking forward on the resource planning side Idaho Power intends to file its 2015 integrated resource plan by mid-year. This by annual planning document is our 20 year roadmap for meeting customer demand in a responsible cost effective way. In addition Idaho Power will continue its optimization efforts targeted to prudently managing both operating and maintenance expenses and capital expenditures. While we continue that focus on cost management we will also continue our active promotion of growth in Idaho Power service area. During the past four years we have experienced growth in our customer count and we have seen and helped to promote positive economic development. We are seeing those efforts pay off as a number of large businesses have elected to locate or expand their operations in our service territory. Slide 9 shows our customer growth increase of 1.4% from 2013 to 2014. During 2014 Idaho Power’s customer count grew by more than 7,300 customers. We believe that this growth will continue our most recent load forecast which we expect to incorporate into the 2015 integrated resource planning process predicts a 1.4% five year compound annual growth rate in residential loads and a 2.1% five year compound annual growth rate in residential customers. Other indicators of the economic condition of our service area include in an unemployment rate in our Idaho service area of 3.6% at December 31, 2014 compared to 5.3% a year ago and a national rate of 5.6%. In addition gross area product for our service area as reported by Moody's Analytics grew by 1.9% in 2014 and is projected to grow 3.1% and 3.5% in 2015 and 2016 respectively. Slide 10 is a look at the projected March to May weather outlook. Temperatures for January were 2 to 6 degrees above normal for the entire region with the exception of the lower Treasure Valley which averaged 1 degree below normal. Precipitation was below normal for the entire region. During February, we expect temperatures to be slightly above normal. March through May projection suggests that there is an equal chance for above or below normal precipitation in Idaho Power service area and a 40% to 50% chance of above normal temperatures. An additional area of focus I want to mention today has been IDACORP’s dividend. From the beginning of 2012 to 2014, IDACORP’s Board of Directors has approved a collective 57% increase in the quarterly dividend from $0.30 to $0.47 per share. You may remember that in September of last year the IDACORP Board approved an increase in the quarterly dividend rate from $0.43 per share to $0.47 per share, a 9.3% increase. This was continued progress toward achieving IDACORP’s previously adopted target dividend payout ratio of between 50% and 60% of sustainable IDACORP earnings. Management continues to anticipate recommending to the Board additional annual increases of over 5% until the dividend reaches the upper end of the target dividend payout ratio. One last bit of news for you is that the Governor of Idaho, Butch Otter announced yesterday in a news release that Kristine Sasser, a veteran legal counsel for the Idaho Public Utilities Commission will succeed retiring Commissioner Marsha Smith on a three-member commission. Commissioner Smith is retiring after serving on the commission since being appointed in 1991. Like Commissioner Smith, Sasser is a Democrat and will serve a six-year term as commissioner. Sasser’s final appointment is subject to Idaho Senate confirmation. And now I and others on the call will be happy to answer questions you may have.
Operator: Thank you. Ladies and gentlemen, we will begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Paul Ridzon of KeyBanc. Your line is now open.
Paul Ridzon: Was weather in ’14 I know is below that of ’13, but how did it compare to normal?
Darrel Anderson: Paul, we will say it is pretty close to normal if anything it may have been slightly on the low side, but it's very close, it was much more would approximate a normal year than ’13.
Paul Ridzon: And I saw you had 10% industrial sales growth in the year what drove that?
Darrel Anderson: Well, Paul I’d say that most of our growth is coming from items that you would say are not headline news, it's not big customers it's kind of some growth with our customers that have already been here, we’ve had some expansions, we’ve had announcements that we have put out a few years ago that some of those are now coming online and expanding their lines of operations and it's really been small increments across the board but I think industrial picked up and we continue to have residential inflow as the State of Idaho still looks like a favorable place to live.
Paul Ridzon: And you said, you indicated low 20s for your effective tax rate in this year?
Darrel Anderson: That’s correct Paul.
Paul Ridzon: And where do you see that going in the next couple of years?
Darrel Anderson: Paul based on the primary impact on that is the repairs deduction and with our planned expenditures being fairly close to what we did this year and fairly level over the next few years around $300 million, we don’t expect major shifts. It is based on the type of additions you do each year and it's a very technical process that is work order by work order but as we would just look ahead, we would think that we don’t see wild changes in that as we move forward. So that’s the primary change from where we have been is the stepped up benefit coming out of the repair side.
Paul Ridzon: So kind of think low 20s for the next few years?
Darrel Anderson: Yes we didn’t -- I haven’t looked at the rate beyond next year, the rate for us I would give you one cautionary thing there is the rate is sensitive to changes in the top-line. So as our revenues go up, the flow through items don’t necessarily move up and down based on changes in the top-line and ’13 is a good example of that, if you go run the numbers for 2013, you’ll see that income before taxes is a lot higher while there is flow through doesn’t necessarily lift up in proportion and so what happens as you get a higher tax rate because you're not getting additional flow through items for those additional revenues to show up. So part of predict down in the future in our 20% -- low 20s is really related to next year, as we sit here today.
Paul Ridzon: And Darrel I had one question, do you think it will be okay if Steve and his guys didn’t make cash for this year?
Darrel Anderson: I will let Steve respond to that one.
Steve Keen: Paul I am not worthy of that Dean Marko and his team are probably the ones you need to talk to on that, they do a fine job for it that is for sure.
Operator: Thank you. Our next question comes from Brian Russo, Ladenburg Thalmann. Your line is now open.
Brian Russo: Just to clarify your response to the last question is the below 20% tax rate is that for 2015 or is that for 2016?
Darrel Anderson: 2015.
Brian Russo: Okay.
Darrel Anderson: That is through the NSDM but yes that is 2015.
Brian Russo: And your guidance it doesn’t assume any sharing does it?
Darrel Anderson: We didn’t really address that but if you look at where we were first of last year where we said zero to $5 million of ADITC that’s an indicator we're down near the floor where we are bumping into the 9.5%. There is a band of roughly $10 million I would say between there and where we begin this year you add in this for the tax item added little over $7 million last year it doesn’t necessarily drive the up to level where you look at sharing. So because we didn’t actually published the exact number we had in our early forecast somewhere between zero and five for last year. And we move somewhere above the 9.5 line but my guess is that it's not enough to shift with the sharing.
Steve Keen: By the line is Brian that range that we have out there. We would anticipate that we're within that debt band area because obviously we’re not using credits and so we're kind of living that debt band for with the range that we provided.
Brian Russo: And could just elaborate on some of the commentary in the 10-K around the EIRP you guys say that you'll be able to meet near term peak capacity deficit until Boardman to Hemingway is completed in 2021. Can you just maybe elaborate on that?
Darrel Anderson: So as you know we are right now in the middle of the IRP process we're kind of going though the IRPAC process and meeting with constituents that work on that process. And if you look at our disclosure around on Page 15 of our 10-K we do talk a little bit about what some of those assumptions are that give rise to the date being what we're say right now is in 2021 or so. So there are number of things the impact that probably one of the biggest things right now we don’t have a really good answer for us what might be the impact of one 11-D. As you know we made hear something back from BPA later this year on that -- that could have an impact our growth numbers may have an impact. We talk about new large loads that could have an impact. But based on the assumptions that we have in there today we are seeing that from a capacity perspective as we sit today on peak hour basis 2021 or beyond is where we stand right now. Which does think up at least today with respect to what we are anticipating the potential in service date that we could see for Boardman to Hemingway again what I would tell you is we're right in the middle of that process and we're going have to let that process play out. We get a chance to update you on that likely at end of our first quarter call because we'll be pretty close to that will be well down the line as it relates to the IRP. So you'll some insights there as to what direction that might be headed. I wish I could give you more definitive answers but right now it would be the cart way before the horse is based on where that process is today.
Brian Russo : And then just to clarify the change in the capitalized repair cost from ’13 to ’14 roughly $7 million to $8 million, that’s what ongoing correct?
Darrel Anderson: That’s representative an annual amount. So that’s why we highlighted that pulled it out of the prior year adjustment. It could vary it's going to vary based on the actual capital that we spend and what kind of items that we might get called by this repair but we think that representative of what we expect in the future.
Brian Russo: And then just lastly just an update on Gateway West transmission line.
Darrel Anderson: What kind of update would like Brian it’s ongoing well I can do is that Vern Porter who is with us today. Who will be able to speak to Gateway West?
Vern Porter: So back in November 2013 if you remember the deal initiative record to a decision for most of the project and we are continuing to work on the two most Western segment 89 that travel through the birds of prey area here before I get to the Hemingway substation. So the decision has been made to do a supplemental EIS environmental impact study for that project and we expect that the BLM issues a record decision sometime in 2016 with respect to that. So worker is continuing and environmental we'll continue to work on that and secure that record of decision.
Brian Russo: And remind me what is the total cost of that line is and what at a group share?
Darrel Anderson: So Brian our estimated cost on that line is $200 million to $400 is what we project that to be. But that’s beyond the high-end forecast periods that we have right now and we would looking to spend those dollars.
Brian Russo: And just curious if everything goes well with the permitting as you stand today hypothetically when would this transmission line be operational.
Darrel Anderson: So Brian you're still speaking to Gateway right.
Brian Russo: Yes certainly.
Darrel Anderson: Okay, okay Vern you want to?
Vern Porter: Yes we expect that the project will built from the east to the west, so we expect it sometime in the maybe end of this decade early decade that pacific core will be building from Eastern Wyoming to cross to our popular substation which is also their popular substation and actually we joint own it, but sometime in that timeframe. And then going all the way across Southern Idaho to Hemingway substation be sometime maybe early to mid next decade.
Operator: Thank you. Our next question comes from Andy Levi or Avon Capital Advisors. Your line is now open.
Andy Levi: Just want to make sure I am very-very clear on this, so let’s just call it the 8 million is for the repairs tax it’s about $0.15 a share in ’15 and I guess my understanding is that you have about $300 million of CapEx every year, right?
Darrel Anderson: Correct, that is our current estimate.
Andy Levi: And the CapEx is very similar each year. So with the exception of having to go in for rate case which you don’t see for the foreseeable future that $0.15 theoretically should continue in ’16, ’17 and even ’18, so is that kind of a fair way to look at it?
Darrel Anderson: That is what we’re telegraphing and I would say there is variability around it, could it be off 10%, 20% if things move year-to-year and we’ll watch that as we get closer. But we certainly have stepped up an increment from where we were prior to this new guidance.
Andy Levi: And what would make it move around just to understand that mechanically either high or lower?
Darrel Anderson: It's really dependent on the actual work that we do and…
Andy Levi: So could you be more specific on that like what quality…
Darrel Anderson: So example, you could have a storm that blows down effects your line and it is exactly dependent upon how much of line would get replaced and there is a limit that qualifies for a repair and if it goes beyond that then it wouldn’t qualify for repair. I would say that overtime, we tend it to be fairly predictable with our repairs, and if you look at it note 2 that we have it's a pretty steady number that we’ve had in there in the past. So I…
Andy Levi: How much is that of your total CapEx if it qualifies for a repair?
Darrel Anderson: I’ll turn it over here to our tax experts to…
Andy Levi: Thank you, I am just curious, I want to really understand this.
Darrel Anderson: If you want to see the gross number, the non-tax effective numbers you to note 2 to the capitalized repairs cost line it's on Page 91 of our 10-K.
Andy Levi: Okay.
Darrel Anderson: And you divide it by 35% you will get a gross number and that would be a gross deduction that will be comparable to what would be seen pulled out of our capital spend as a repair deduction.
Andy Levi: I don’t understand what Page 91 of the 10-K 35%, which note is it?
Darrel Anderson: Note 2 the first table in note 2 and the line is called capitalized repair costs.
Andy Levi: Right, okay.
Darrel Anderson: $26 million and you divide that by 35% that gives you a gross.
Andy Levi: Got it, and that’s a total kind of CapEx number, this really not big a number out of the total CapEx I guess?
Darrel Anderson: That’s about 75 million if you do that math Andy.
Steve Keen: That’s the portion of the CapEx.
Darrel Anderson: To be qualified.
Steve Keen: Yes.
Andy Levi: So that continues on until either you don’t have that repairs amount, or let’s just assume that you do every year, assume your repairing things all the time, what would make it go away is it a rate case or…
Steve Keen: Well in terms of how, that is a good question, in terms of how it provides an income lift is it would predominantly be a rate filing, that when you do a rate filing you reset everything that’s included in cost of service and it should be one of the line items that would be part of that, so you would see an adjustment at that time. You could change in the regulations clearly has moved it in this case, it was a change that lifted our expectations for future deductions and just a change in what you are in terms of your expected types of CapEx, and we put we highlighted a few more infrastructure changes in our 10-K this year to give you an idea of the ongoing nature of what we’re doing, but as you look through those we’ll see that they really are things that last over period of time it's not like a big project, it's going to be done in six months that’s really things we do each year.
Andy Levi: And I know categories flow through I guess from what [indiscernible]?
Steve Keen: Yes, and the flow through relates with why we don’t put the deferred taxes against that which would eliminate it having an income impact it would simply be a cash benefit and that is due to a choice that was really made by our regulator in Idaho that that is the method of accounting we follow for these and it's a couple of decades old that we've been on that methodology.
Andy Levi: And then it's really the tax ruling from last year that’s kind of increased the amount I guess right?
Steve Keen: Right and the repairs regulations impact a lot of industries other than utility. I think prior to this updated regulation utilities were one of the more predominant users of repairs and I know the initial thoughts were that when the regulations were issued. It appears that there might be a little more constrained in terms of what would qualify and what would not and it was really some clarifications that came out mid last year. That explained that in a way that we could see that the products won more benefit we actually brought that back put it into a tax return gave that through the IRS and they looked at it for 2013 and we have a result that has been agreed to for last year that’s now reflected and it's really that methodology that we drilled into 2014.
Andy Levi: And IRS doesn’t have to approve it every year right, now it's kind of like a given right?
Steve Keen: Well they will look at the tax return every year I mean we do get out of it annually. But the fact that I get some comfort in the fact that they did look at our tax return last year that had a new methodology and we reached an agreement and as Dean’s team goes forward they take what they learn out of each audit supply candidate in the next year. So you have it is not a guarantee they're going do everything exactly the same year-to-year. But it's nice to have that current of the year that they have reviewed.
Andy Levi: And then basically this obviously adds your common equity. So gives you head room as far as you ROE is concerned and obviously [indiscernible] that way and it also allows you between that and your ADITC state of the greater enough for quite some time. But when you do go back whenever that maybe if it's 2019 or 20 or whenever it is when you go into the rate arena that’s when the rate based would be trued up based on this, is that correct?
Steve Keen: We would true up everything that we would true up rate base and you would also true up your cost to service line all your expenses would be updated as well.
Andy Levi: So really behaves you stay out as long as possible at the same time benefits the customer because you're not going in for rates?
Steve Keen: Well I would say that repairs deduction does provide cash flow as well you get the deduction and you also get some cash from that. The decision on whether you file a rate case is really more something you look at independently and we watch both the rate base side and the cost service side and it's really when that gets out a balance and you feel like you need to go recover more ten you go file. Don’t know that this is really viewed as an item keep us out is another change and it does help our earnings little bit and provide some cash flow. But if you spend enough on CapEx you still have the need for rate case.
Andy Levi: I'm probably getting daggers from people here in New York who wants to go home. So lot of question I had offline but thank you very-very much.
Operator: [Operator Instruction] That does conclude today’s question-and-answer session Mr. Anderson I will turn the conference back over to you.
Darrel Anderson: Thank you and thanks everybody for participating on our call this afternoon. We actually also are with you with all the tough weather a lot of you guys have had here this winter and we hope you guys are all surviving and we also appreciate your continued interest in our Company. We look forward to talk to you guys in the future. Thanks a lot.
Operator: That concludes today’s conference. Thank you for your participation.